Operator: Greetings, and welcome to The ExOne Company's third quarter 2013 financial results conference call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Deborah Pawlowski, Investor Relations for ExOne. Thank you, Ms. Pawlowski. You may begin.
Deborah Pawlowski: Thank you, Kevin, and good morning, everyone. We certainly appreciate your time today for our third quarter and first nine-months conference call. On the call with me this morning are Kent Rockwell, Chairman and Chief Executive Officer, David Burns, President and Chief Operating Officer and John Irvin, Chief Financial Officer. We will be reviewing the results of the quarter and nine-months period that were published in the press release distributed after yesterday's market close. If you don't have that press release, it is available on our website at www.exone.com. The slides that will accompany our discussion today are also posted there. Additionally, on Tuesday, we announced that we will be appointing a new CFO in January, as John transitions to become a special advisor to the Chairman. So we will touch on that as well. Referring to the slide deck on slide two is the Safe Harbor statement. As you may be aware, we may make some forward-looking statements during this discussion, as well as during the Q&A. These statements apply to future events and are subject to risks and uncertainties, as well as other factors that could cause actual results to differ materially from what was stated here today. These risks and uncertainties and other factors are provided in earnings release, as well as other documents filed by the company with the Securities and Exchange Commission. These documents can be found at the company's website or at sec.gov. We will have Kent first provide some introductory comments on the state of business. David will provide a high level overview of the quarter and then John will provide a more detailed review of the financial results. We will turn it back to Kent to discuss out outlook for the remainder of 2013 and the future. With that, I will turn it over to Kent. Kent?
Kent Rockwell: Thank you, Deborah and good morning, everybody. Thank you for joining us early at the 08:30 hour for those of you on the West Coast, I hope you have a strong cappuccino or something to keep you awake. The quarter for ExOne from the perspective of management, we are extremely pleased and proud of what we have achieved in revenue growth in this quarter. In the industrial base business, it's a slower and more difficult process in working through the purchasing decisions with industrial customers. So we think that the revenue that we achieved is excellent. We have maintained the gross margins that we had anticipated and suggested from before. Our spending is now falling a little bit more in line and so our performance is reflective of where we thought we could be. So from a company perspective, irrespective of electronic media and its various opinions, we are quite positive with where we are and think that we are still ahead very much in the right direction. I do want to address the addition of Brian Smith who will be joining us as our new CFO. Brian Smith has been with me for more than 30 years, I think. Brian was our auditor at Astrotech back in the 80s and 90s with Pricewaterhouse. He then became, I think, our lead auditor when I was at SensysTech. These are two other public companies we are in. So my history with Brian has been very extensive. John worked with him at the same time back in the SensysTech and certainly we actually left Pricewaterhouse and went to somebody else at Argon when John became the audit chairman. So Brian is somebody I have known for over 30 years just the same thing as John. We both, all three of us have worked together in multiple public environments. The decision for us to do this, I think, is already been stated. I am very pleased that John is taking the role that he is working specifically with me on projects because in a company that has the kind of growth that we have, there is more projects than any of us could handle and so he will be very active in that role in putting an important role for us. Brian brings all of the experience that one would expect from a senior PricewaterhouseCoopers' Executive and so we are looking forward to adding his skills in with the other folks that work here. For us, this is a very positive statement and we are very pleased about it and we announced that immediately upon the approval of our board on last Tuesday. In terms of the business aspects, in the quarter, I can say that we had an increasing development of opportunities and contracts with major industrial OEMs in the quarter. Our material developments are looking at using our machines for a variety of different applications. All of this is, again, for the most part under MD&A, but the success that we are having is more than encouraging for me and I think for our whole team. We have had a lot of great new experiences and some very positive results in materials development and in some new machine performances, so as we move through the quarter these are things that will of course take more than one quarter to continue to develop. Some of these relationships will take as much as 12 to 18 months to develop as we have seen in the past, but who they are and what we are doing for them? I think it's very reflective of the fact that the awareness of binder jetting as a 3D printing technology is becoming more realized by our customer environment and so that's brining us a great deal of gratification as well as a great deal of additional work, so the beat goes on. One of the things that we have been developing, we mentioned briefly in the past was the EXCAST process. EXCAST has the ability to take our machines and put it into a process for customer applications where we will deliver in a very rapid fashion, a high quality finished machine part, casting part. We are still filing some IP of EXCAST. You will be hearing a lot more about as we move through the next quarters. I would look at it as saying that EXCAST is a super PSC, that is to say, full service PSC, and so it's an adaptation to some of our PSC technology, but the demand and the success of what we are seeing with the customers that are ordering that, we now have some customers that are ordering that. We now have some customers that are ordering millions of dollars of parts and finished components. While it has been a real development processes that's evolved for us it is very exciting and we are going to focus on that as another strategic point in our efforts. With that I think I am just going to pass on to David and John, so they can report for the quarter and then I will have a couple closing comments and we will be glad to answer your questions. David?
David Burns: Thank you, Kent. Good morning, everyone. This is David Burns, President and COO of ExOne. So if you would skip to slide five please? I would probably take just a moment to reflect an overview three from a strategic perspective before we jump in the outcome results of the quarter, but I do want to echo what Kent said, we as a management team are very satisfied with what we accomplish on the third quarter. From a strategic perspective, we have been focusing in a variety of areas. One is the maturation of our sales network, and if you monitor the releases that we have made, you will note that I have added in the quarter multiple our representation frameworks in different countries and we continue to add salespeople at a reasonable rate. Our sales headcount is up 60% or 70% from IPO time and you have seen the announcements about the U.K. and Spain and some other places. The maturation of the sales network means that we simply have more touch points out there to interface with the industrial customer base that we cherish. I think I would characterize the atmosphere that we are in right now from sales perspective is quite intense and palpable in terms of the interface with our customers, so we are very, very pleased with the maturation of our sales network. As Kent mentioned, we continue a pace with our materials development activities. We have made a couple of announcement here in the summer time of new materials. We have more coming and not only do we feel very satisfied with the progress we are making in terms of material development, but the customer interface, deploying an application. So they are bringing to us are increasing rapidly as well. So we are right on track on materials development. As you may recall, the first IPO focused on capacity expansion as one of the uses of proceeds we broke down in Germany for our new building which should be ready in late 2014. We added two PSCs which we will talk a little bit later. So our capacity expansion is continuing at the rate necessary to support the growth plans that we have as a company. Finally, in terms of full-time headcount, since the IPO time, we are up about 50% in terms of full-time headcount. We are adding people around the world in key positions and we have a reasonable growth rate in terms of people. As you might understand, assimilating that many people into a global organization that's highly technical remains a challenge and yet we are very, very satisfied with the people that we are bringing onboard. Skipping to slide six. A quick look at revenues for the quarter, $11.6 million. That's up about 35% or 36% quarter-over-quarter and 81% year-to-date. We talked previously about our goal which is to, by product line, try to have a 50%, 50% split between machines and PSC revenue and then about a third, a third, a third split across the regions of Asia, Europe and the Americas. As long as we are in this intense growth mode, we are going to expect our machine sales are going to lead our non-machine sales in terms of revenue. So we are growing rapidly. We are not at all surprised by two thirds, one third split in terms of machines versus non-machine and I think that trend is going to continue as long as we are growing as fast as we are. Slipping to the year-to-date slide. Similar trends, of course, in terms of overall revenue. And you will see the split there between machines, PSCs and then regional splits. We had a good early part of the year in Asia, especially in Japan. We expect the regional balance is going to change a little bit as we get to the fourth quarter but we still think that we are seeing this good trend worldwide in terms of revenue splits. On slide eight, a little closer look at machine sales. We sold eight machines in the third quarter and there were machines sold from each of the four platforms that we talk about. You may recall that we build machines by platform size ranging from the Max, next in size is the Print platform, then the Flex and finally the Lab platform. We sold machines in the each of the platform categories in the third quarter and I believe this maybe the first quarter we had sales in all four platforms territories. We had committed at the end of 2012 that we would ship and sell our first M-Flex metal printing machine of the Flex platform in the third quarter and we accomplished that. So if you see quarterly machine sales, we are up about 50% year-over-year and then from the nine-month period up 166%. Of course, what's important, at this point, is our sense of what the fourth quarter is going to look like and we would say it again at this point that the pipeline supports our forecast revenue for the year. We have a customer identified for every machine and a machine building for every project we need to reach guidance. Therefore we have confidence in the guidance that we have put forth. Slide nine. If we look at the non-machine revenue side, you may recall this is an aggregation of consumables, service, spare parts and PSC revenue for parts. We announced the opening our sixth PSC during the third quarter, that being in Auburn, Washington and the seventh which will be in Las Vegas to service the Southern California cluster of foundries. We established sales centers in Brazil and China and the eighth and ninth location for our PSCs are identified and in process. One in Western Europe and one in Asia and we expect announcements about those in the coming weeks. So we saw a good quarter-over-quarter growth in PSC revenue, 16% and then year-to-date we are up almost 20% in terms of PSC revenue. All of these are very much within the parameters that we expected is an operating team and we are very satisfied with what we have seen. On slide 10, let's just briefly talk about the midterm going forward. I want to hearken back to what Kent pointed out a few minutes ago and that is that in the time between our February IPO and the secondary in September, we broadened the clear focus on our own minds that our customers are anxious for us to be able to help them with this whole idea of going from digital IPO to solution on the shop floor. 3D printing is a component of that, but there are things that both precede and follow 3D printing that are critical in order to go from digital idea to solution. Follow-on offering that we had in September, the successful one we raised $60 million dollars, we stated that time that the focus of that raise was for us to look at the preprint through post-print cycle and to accelerate the adoption cycle of 3D printing as a result of looking the holistic cycle. We have now have refined again our own view of this and we are going to focus more strongly on the casting process within that entire cycle. This includes metal printing, ceramics printing and other things, with the EXCAST process has really come, again, in the focus for us in the third quarter and you are going to be hearing more about this, but we are driven now by customers who are coming to us saying, we want you to be involved with the delivery of parts that embed all of the advantages of 3D printing, the speed and the design freedom and yet give us the quality parts we will need for industrial production. That is the EXCAST process for us. As Kent pointed out, you are going to be hearing more about ExOne and the EXCAST process in the coming weeks. I will turn over to John to give a quick review of the rest of the financials and then we will turn it back to Kent.
John Irvin: Okay. Thank you, David, and good morning everyone. Turning to Slide 12, I would like to start with reviewing our third quarter and year-to-date 2013 gross profit and the gross margin. For the third quarter 2013 gross profit grew 48% to $5.3 million. That represents a 45.2% gross margin. This compares to last year's $3.6 million of gross profit or 41.08% of sales. The improvement in both, profit and margin was driven by the increased machine sales volume as well as the sales mix between machines and non-machines. Additionally, as we grow our PSC revenue, we become more productive at our PSC facilities and improving our margins. I want to point out to you that as you would likely realize, the revenue will fluctuate from quarter-to-quarter given the number of machine sales in the quarter, product mix and other factors. Similarly, gross profits and margins will fluctuate from quarter-to-quarter for similar reasons as well as investments in startup costs at newly opened PSCs, but we expected that the annual gross margins over time will migrate to our 45% to 50% target. Our year-to-date number show a similar margin trend as Q3 with our first nine months of 2013, recording a $12.3 million gross profit or 42.6% of sales. That compares to $5.9 million of gross profit year-to-date in 2012 on a margin of 37%. That represents 108% growth in gross profit. I would turn to Slide 13, and I will summarize our OpEx, our operating expenses for the quarter. For 2013, OpEx was $5 million which consisted of $3.7 million of SG&A expenses in the green bar and $1.3 million of R&D expenses in the gray bar. This compares with operating expenses of $9.2 million in the third quarter 2012, which consisted of $8.9 million of SG&A and $300,000 of R&D. For the current year's quarterly SG&A actually went down compared with the prior year's quarter. Last year has included a $6.06 million equity based compensation charge and this year's equity-based compensation charges $200,000. So if you isolate those charges, the other operating SG&A expenses actually went up as expected by $600,000 driven by the investments we have been making to grow our business. These aggressive investments include hiring personnel both, inside and outside sales staff as David has mentioned, other support cost and sales commissions. Our R&D went up by $1.0 million, reflecting expanding activities of our ExOne unit with particular emphasis on materials development in accordance with our strategy. For the year-to-date 2013 period, OpEx was $14.6 million compared with $16 million for the prior period. Last year included $7.7 million of equity compensation charges and this year has $500,000. Again, excluding both of those, the $5.8 million increase includes the investments to support our growth. All right. Please turn to slide 14, and I will touch on the balance sheet. It September 30, we have hundred $115 million of cash compared with $2.8 million at December 31 and $64.6 million at June 30. Our outstanding debt was $3.4 million at September 30, relatively consistent with the last year's quarter of $3.5 million. The significant variations compared with December, as you know, are due to our February IPO and our September follow-on offering. As I have previously stated, we are investing approximately $40 million to $50 million during '13 and '14 to expand our global manufacturing capacity, our PSC development and other strategic initiatives. This includes about $20 million for the expansion and consolidation of our German operations. Additionally, as previously discussed, we are looking at opportunities to invest in pre and post processing capability to accelerate the growth of our 3D printing technology both organically and through strategic acquisitions or alliances. So this capital will support those initiatives as well. All right. Turn to slide 15. We are reaffirming our guidance for 2013 that we clarified in our second quarter earnings report. We are expecting to achieve 2013 revenue towards the lower end of our guidance range which was $48 million to $52 million. With respect to gross margin, we believe we will be at the high end of our guidance range which is 42% to 46% and with our continued aggressive investments to support our growth we currently believe that we will realize the higher end of our $18 million to $21 million range for our OpEx. So based on this guidance which is supported by our current backlog, you can see that we are expecting a strong fourth quarter. So with that, let me turn the discussion back to Kent.
Kent Rockwell: Thank you. Yes, I have got a couple just concluding remarks that I think are worthy of repeating or giving some focus to. As David mentioned, that 50% of our people were new over the last six months. So anytime that you have that magnitude of change you are struggling with process change and for a small company like ours a process change is critical. So we are really focusing on putting new processes in place to help the business be able to achieve that growth and trying to get this processes in place is a very, very important aspect. Some of that bears on costs. For instance, the implementation of ERP, ISO 9000. These do not generate profits but they are essential to be able to grow well into the future and we are expending a lot monies in the efforts to be that larger greater company that everybody thinks we are going to be when we look at the market value expectation. So it's a challenging effort for us to be able to balance the expenses of all these different things to get us process efficient to be a much, much larger company and we are spending it as mindfully as we can to achieve our profit. We did record a profit this quarter which I was very pleased about and in line with my expectations. So we are balancing our strategic efforts to get it, tactical efforts rather, to be mindful of trying to achieve certain performance goals. I think we are doing a good job of that. What we are noticing or what I am noticing and I think the rest of the industry is noticing is that the adoption of 3D printing in industrial markets has now really started to take some new momentum. We have had over the past 2013 markets that were in recession in Europe, the change in Japan, even the U.S. market was a little slower. I think all of that has actually moved to the positive force now. Japan is starting to generate a lot of new activity in the Asian markets. Europe is, if you read all of the Google's reports out there out of recession and doing better, and I think the American market is doing quite well in terms of the number of customers that we now have looking at the our technology. In particular, I think that there has been an awful lot of focus on the laser technology, because of the early development of that laser technology in the polymer's markets and it's been given a lot of visibility also the metals market. Binder jetting, because even though we could use our machines and polymers, we are focusing on the industrial materials and the binders jetting has sort of been the redheaded stepchild of 3D printing in my mind hasn't really gotten the credibility that it may provide to the marketplace because it is so much focus on laser and well the laser market has lots of opportunities. They are doing a great job in what they are doing. I think that those of you who are really interested in where the business is going to evolve should take a stronger focus on what binder jetting is. It's not the answer to everything, but it is a much more economical opportunity as it starts to grow and more materials become applicable and we are adding those new materials. I think we are doing a good job of getting material out to the marketplace and we have recently picked up a couple of contracts with the different large companies for specific materials development for needs today. They are focused on and we are expecting to see a lot more of that as we move into the '14 year which will get more materials running across the biogenic platforms the EXCAST process. Again, what we are seeing from customer demand, so our job is really to satisfy the customer in any form that we can is that the demand for complex casting parts finished is a growing demand and a growing need and it's not being satisfied particularly well in certain markets and so we are with EXCAST, since we have a unique proposition for our customers and the satisfaction that we seem to be providing to a couple of other larger aerospace guys is very rewarding. Rewarding to them that's cool about it and rewarding to us, because we are making good margins even as we learn how to better utilize this process and implement it, so the EXCAST piece is something that's going to grow for us and we are very focused on that. Having said that, I think we will just move on and take some questions and we are pleased to start with that Debbie.
Deborah Pawlowski: All right. Kevin, we are ready to open the lines for questions.
Operator: Thank you. (Operator Instructions) Our first question is from John Baliotti from Janney Capital Markets. Please proceed with your question.
John Baliotti - Janney Capital Markets: Yes. Congratulations. Really nice quarter, especially all across revenues and to see a positive margin and clearly revenues, you weren't dealing with comp there and in terms of what happened last year, but Kent or maybe Dave, the EXCAST process sounds really interesting from maybe from an adoption standpoint as customers are still trying to feel their way and understand exactly what the [S] machines can do for them and maybe they stay permanently as EXCAST customers, but it seems like a great opportunity to get that adoption rate up longer-term to get them either buy a machine or just remain as a service customers. Is that kind of how the way you are seeing it?
Kent Rockwell: I am going to let David to address that question, John.
David Burns: John, thank you. Good question. I think what we have to recognize is that around the world if we look at the approach people take to manufacturing. We see a real diversity, region-to-region, and in different places have at the core value manufacturing. They value it in different ways. So in the case of the United States, we have seen many customers that are more than happy to allow others to take full responsibility for part delivery. So other parts of the world, that's less true. So I think we are going to see a diversity around the world in terms of adoption of the EXCAST process, as we provide it. That said, in one side it doesn't really matter which approach people take because if they go the route of saying they want everything in-house, then our equipment logically fits with what they are trying to do. I think the one point to make is that over the last year, because of the cost of production and the way we have driven it down, we have seen a real shift from very, very low volume manufacturing now to batch production that we are effectively competing with. This is a really catalyst for why, I think, the EXCAST process is going to take off.
John Baliotti - Janney Capital Markets: You mentioned, David, in your prepared remarks that the maturation of the sales force and that you are building out the capacity and you guys seem to get a really nice absorption on your cost in the quarter despite the fact that you have increase your headcount as much as you have, and I know there were some adjustments this year and last year but sequential and year-over-year there is clearly a nice significant ramp-up and leverage.
David Burns: Yes, feels that way.
John Baliotti - Janney Capital Markets: (inaudible) the right people.
David Burns: It feels that way to us too, John and I think this is kind of the way we visioned this whole thing when we went out and I think the quarter was simply an affirmation that our sense of that vision was correct.
John Baliotti - Janney Capital Markets: Great. Congratulations, again.
David Burns: Thank you, John.
Operator: And our next question today is coming from B.G. Dickey from Stephens. Please proceed with your question.
Brandon Ryan - Stephens: Hi, guys. This is Brandon Ryan, sitting in for B.G. Dickey. How is it going this morning?
Kent Rockwell: Pretty good morning, Brandon.
Brandon Ryan - Stephens: Congratulations on the quarter. I will just start now with the first question. You stated you expect to be at the high end of your initial gross profit margin of 42% to 46%. So if we assume you are expecting to achieve 45% to 46%, we have to see a material pickup in fourth quarter margins from current levels. What gives you the confidence we are going to see that level of pick up? And can you give us some thoughts on what the margins should look like in 2015?
David Burns: Yes, the confidence, Brandon, comes from the fact that in the fourth quarter, we expect to have a heavy mix of our high margin machines that will drive the gross profit up. So we are confident of hitting the higher end of the range because of that.
Brandon Ryan - Stephens: Okay, great. Then in terms of machine sales, what are you guiding for the fourth quarter in terms of actual number of those?
David Burns: Yes, we don't give that, Brandon.
Brandon Ryan - Stephens: Okay. Moving on, with the special advisor role to the Chairman, what does that entail?
Kent Rockwell: We have so many project opportunities that are out here that we don't have enough people to cover them and we are constantly trying to hire more executive staffs but for the most parts, it's looking at, let's say, maybe some of the complementary acquisition opportunities and then also assisting us in execution on some of the PSC strategies and EXCAST strategies that we are having. So John is going to have his hands full, just as he did before. He was very helpful with us in getting the Japanese thing online and just giving David coverage because David has to spend so much time internationally in market development. So he is more on the tactical implementation in helping me with acquisitions and finding people.
Brandon Ryan - Stephens: Okay, great. And I didn't notice in the press release, an actual backlog figure in terms of dollar amount. Could you provide this and maybe just a light on how long it will take to burn through?
Kent Rockwell: David?
David Burns: Well, we don't publish backlog numbers. So in a sense, we don't only really have a reference point to offer you other than to say at this point that between the backlog and the pipeline, as we know it, we believe we are going to reach the revenue targets that we set for ourselves for 2013 and based on what we see in the pipeline, we clearly believe that both from a capacity perspective and a market perspective we can reach the growth levels we talked about for next year.
Operator: Thank you. Our next question is coming from Hendi Susanto from Gabelli & Company. Please proceed with your question.
Hendi Susanto - Gabelli & Company: Good morning, Kent, Dave and John. Thank you for taking my questions and I think you since [track] to reach your annual guidance. I would like to know more about emerging industries outside your core industries. Would you be able to share which industrial account for the majority of your material development, the pre-print to post-print opportunity and then EXCAST process opportunity?
Kent Rockwell: As we addressed in the secondary offering, we were focusing on the opportunities in the pre-print side. We have just implemented a major design center to be instituted here in North Huntington and we are putting in a design capability to assist our customers in that and to bring to bear in that all of the new prepress technologies that are out there for optimization, the dropbox optimization loading, for optimization of design, features and there is a whole host of software technologies that are applicable to our customers' needs and some of those maybe things that we will want to invest in as we move along. Similarly in the post-processing area, we see developing opportunities EXCAST itself that offers us the opportunity to start to offer finished parts, because some of our customers are. Right now, we are subcontracting out some of the finishing. We are partnering with foundries and so we are looking at okay. What are some of the strategies that will help us optimize the customers' requirements to give them this EXCAST functionality and it's a best manner. We are doing that really in concert with the customers. As we have already discussed for instances Sikorsky, we have a very successful and multi-billion dollar backlog right there, right now for high quality cash in finished parts and they are very excited about what we are doing and what we are trying to do is. We recognize that there is a couple of Sikorsky customers that we are working with that could become much larger, they see what's going on there and so we are trying to address how do we take the proprietariness of what we are doing and exploit that in a global market taking it perhaps to places like Japan and enhancing what we are doing here in the U.S. and in Germany.
Hendi Susanto - Gabelli & Company: I guess that's reasonable that two us are getting fast array of industry rather than getting [capacity] at this point.
Kent Rockwell: Yes. We are also focusing on some of the carbon materials. I think carbon is an area that binder jetting will play very, very important feature and proving the productivity and the adaptability of design for great new market applications and so that's one of the other ones, I am particular focused on where we want to look at the end user markets as well as just what treating binder jetting can do that industry.
Hendi Susanto - Gabelli & Company: Okay. Then second question, given the strong momentum of your PSC business, you have like PSCs some of them are new which you will be able to disclose how many of your PSCs have reached positive profitable it would be?
John Irvin: Hi, Andy. This is John. We don't do that, but you could assume that all our legacy of the original PSCs are profitable and have been profitable for quite some time.
Hendi Susanto - Gabelli & Company: Okay. Thank you.
Operator: Thank you. Our next question today is coming from Cindy Shaw from Discern. Please proceed with your question.
Cindy Shaw - Discern: Thank you good morning. The press release mentioned that three of the S-Max machines and one of the S15 machines that were sold in the third or prior quarter. I am wondering it seems like a long lead time between the sale and the revenue and I am little unclear, by sold, does that mean taking the order and hoping you can give us some clarity in terms of really what is that, not just the sales cycle but the start of the sales process to take the purchase order to actually shipping it out the door and booking the revenue and how we should think about that going forward?
David Burns: Good morning, Cindy. It's Dave. I am sorry.
Deborah Pawlowski: Cindy, when we said at the three S-Max and one S15 were sold, they were not sold with the purchase order and shipped this quarter. They were sold and shipped last year's third quarter. Those relate completely to last year.
Cindy Shaw - Discern: Okay.
David Burns: Just so we get on the same page.
Cindy Shaw - Discern: Okay, good. With that in mind, in any case, can you talk about really what the cycle is. I think probably there is no difference from what we heard in the past is that most of the orders come in, in the second and third quarter and most of them ship out in the back half and particularly in the fourth quarter. Is there any change to that?
David Burns: No, the pattern is going to remain the same, certainly for '13 and probably into '14. You may understand that the challenge is with our manufacturing capacity. We need to run it at more or less a steady state throughout the year. Of course, the order pattern is on a steady state. So our lead times vary greatly depending on where we are in the year and cycle based on whether we have got machines built or not built to satisfy demand.
Cindy Shaw - Discern: Okay. That makes sense. Can you talk about one of the things we heard earlier in the year was that there is capacity constraints here in the back half as it is a heavy shipping season. Is there any risk that if there are any hiccups, and I have worked for startups, so they are drawing quickly, so I know how hard it is to grow at this kind of pace. So if there are hiccups, is there are any risk to the revenue for the fourth quarter?
David Burns: No. There is none. The manufacturing capacity that we need to support the plant is established in place and we are fine for Q4.
Cindy Shaw - Discern: Good. Okay, and then the PSC revenue, last quarter we heard on the earnings call that we should expect about 20% growth in the second half. It looked like it headed more in that direction. I know you (inaudible) Japan in the second quarter. Are you expecting it to pick up in the fourth quarter in terms of PSC revenue growth versus what we have seen in the last couple of quarters?
David Burns: Yes, Cindy. This is Dave again. The answer is yes. One of the things that we are seeing in terms of PSCs which is little bit of a different dynamic is that as we enter the EXCAST process, we are engaging with customers on longer lead time projects that have higher dollar in volumes attached to them. So it is going to make the rollout a little lumpier than we have seen in the past but if you look at the overall trend which is what's important over an extended period of time, the growth rate we anticipated is happening exactly as we would have expected.
Cindy Shaw - Discern: Okay, and then a couple more housekeeping questions. It seems like really your operating profit was much better than I anticipated for the quarter and where you got hurt was this foreign exchange which really stepped up in the most recent quarter and the tax rate. And those are really things out of your control but how should we think about that for the fourth quarter and to some extent, I know its tougher to call, but for next year?
John Irvin: Cindy, John. Tax rate, you know the challenge that I have discussed in other earnings calls with the tax rate for '13, large profits in Germany driven by their tax rates not necessarily balanced in the U.S. So Germany is where the S-Max's are made. We are going to have heavy mix of those machines being sold in the fourth quarter. That's going to drive the German profits and the tax rate. So you should expect the tax rate to be anomalously high in the fourth quarter. The foreign exchange, that is absolutely something that we can't control and can't predict and I not sure how I can help you with that.
Operator: (Operator Instructions) Our next question is coming from Jonathan Chaplin from Credit Suisse. Please proceed with your question.
Jonathan Chaplin - Credit Suisse: Hi, guys. How are you doing?
Kent Rockwell: Hello.
Jonathan Chaplin - Credit Suisse: I was just wondering, it seems like you are sticking to your guide and Q4 should come in that most of the machines are earmarked and already get set for particular customers, so I am just looking at the deferred revenue and customer prepayments and it seems like that's at a particular low from the last four quarters. Is that not a good indication of the sale that we expect in the coming quarter and I was trying also if you could just kind of discuss why accounts receivables took a jump.
Kent Rockwell: Well, on the deferred revenue, deferred revenue is not one of the better indicators for us. We, particularly in the fourth quarter have, we might say a shortened sales cycle when of - when the customer wants a machine we can deliver the machine and so I don't see the deferred revenue as a marker.
Jonathan Chaplin - Credit Suisse: Then just on the accounts receivables.
Kent Rockwell: Yes. I think the accounts receivable falls into the same category, we just don't use them these markers.
Jonathan Chaplin - Credit Suisse: Understood. Thanks a lot.
Operator: Thank you. Our next question is coming from James Meredith from Cowen & Company. Please proceed with your question.
James Meredith - Cowen & Company: Thank you for taking the questions and congratulations. I wanted to dig a little bit more into the service center or the PSCs rollout. Can you give any more color on the timing of the Las Vegas unit and whether Western Europe is coming before or after Asia?
David Burns: Yes. This is Dave. Good morning. In Las Vegas, the site is secure. The equipment that we need there is being delivered now and we are in the process of installation, so we would expect to be operational within weeks. At this point, our expectation is that Western Europe will rollout first and I am not committing the timing. It is possible that this is a 2013 announcement yet, but more likely going to skitter just over the line and early Q1, and expectation is in Asia will be up and running by the end of Q1 at this point. I do want to say those are very much speculative and not commitments.
James Meredith - Cowen & Company: Okay. Then the…
David Burns: …by the way, I just want to add this. in both cases, we are following a different model in both, Western Europe and in Asia and that these will be more joint venture style PSCs as opposed wholly-owned and therefore subject more to negotiation than it is to just execution.
James Meredith - Cowen & Company: Okay. Interesting. Then the $40 million $15 million of CapEx, and I think you said $20 million of that is going to the German consolidation. Just for clarity, does that include the PSC for Western Europe or no?
David Burns: It would. I think in previous calls, we have stated PSCs are $2 million to $4 million and a lot of variability there and as David just introduced the idea of a joint venture would probably change the CapEx and dynamics of that, but yes it would include it.
James Meredith - Cowen & Company: Okay. Then just finally, as you build the newer ones, are they tending to be the same size or larger?
David Burns: This is David…
James Meredith - Cowen & Company: …planning these similar ones…
David Burns: Truly they range to market, so in some cases we are talking about a singular machine and in other cases, we may install three to four machines in both, Western Europe and in Asia, we would anticipate that being on the lower end in terms of initial equipment installation although of course it's very modular and it changes as demand pattern change.
James Meredith - Cowen & Company: Great. Thanks. Congratulations again.
Operator: Thank you. Our next question comes from Ajay Diwan from Columbia Management. Please proceed with your question.
Ajay Diwan - Columbia Management: Thank you. I may have missed this, but 28 machines, did you specify which machines you sold actually in the third quarter?
David Burns: Yes. It is the press release.
Ajay Diwan - Columbia Management: Yes. I am sorry. I will look that up then.
David Burns: …the financials.
Ajay Diwan - Columbia Management: Okay. Then how many machines are you expecting to ship in Q4 then? Did you actually give a number of machines?
David Burns: No. We didn't. In the machine mix, because we now have M-Flex is entering into the mix, will start to change to the numbers because they are smaller and there is a lot more of them that may go out, so I had to look at comparators. It may mislead you, because there is going to be a lot more machine sales and it's the mix of machine sales that becomes relevant, so looking at the total machine sale count, probably is not a good think.
Ajay Diwan - Columbia Management: I see, because I think you said earlier on the call that you have identified a customer for each machine and you have built a machine for each customer. So I was just inferring from that but you would know what the number and the mix of machines would be for Q4.
John Irvin: Yes, I think that the thing to understand here is that what we said is that we have the capacity of machine availability to address hitting our performance targets for the year. The issue becomes, okay, right now we have a lot of the machines that we want to deliver and it's not about whether we lose the order or lose customer. It is about, will the customer get the paperwork done so that it becomes revenue recognized in the fourth quarter. When you are dealing in Russia and in India and in some of the other foreign entities that we are dealing in, you are having to get government approvals and it is all about paperwork. We are not concerned about any customer going away. It's a question is, for some reason, does paperwork not get completed and it slips into the next quarter. We had that happen even in this quarter for the simple reason that a truck was one hour late getting to its place of delivery on September 30 and as a result we have a major miss because they closed the shipping dock early. As crazy as it is, that's the rules of revenue recognition, that's what we have to live by. So you never know when these little things can happen and we just have to plan for it. We have a customer on every machine.
Ajay Diwan - Columbia Management: Thank you. So you just have a kind of an assortment of machines built. You are not sure which ones are actually going to ordered but you have the ability to deliver what you anticipate because you have these machines built or in process of being built? I mean, the actual orders to those machine haven't been crossed yet.
John Irvin: We have got Russian machines that are sitting there that could be shipped very quickly but the Russian government has to approve that the funds moved to the customer and that's always a question of the who is country at the time that wants to sign the check. So, (inaudible), we have been dealing with this since we started and frankly it is just part of our business. We are not worried about losing customers. We are just worried about getting the paperwork done.
Ajay Diwan - Columbia Management: Okay, and then did you add some new materials this quarter? You alluded to more materials being worked on but now are you saying that there's more material capability in your roster right now or is that still not officially done?
John Irvin: We have not officially announced any new orders. I can say that new materials that we said that we would anticipate about to every six months. I can tell you that we are having excellent progress in some new materials that are all customer driven and that we are very excited about where that's going. But again, its all under NDAs and it is our biggest opportunity. We are working real hard on that.
Ajay Diwan - Columbia Management: Okay, great. Thank you.
Operator: Thank you. Our next question is coming from (inaudible). Please proceed with your question.
Unidentified Analyst: Hi, thanks for taking my question. Just a quick question on the EXCAST process rollout. You talked about it being incorporated in PSCs. Do you expect to retrofit the PSCs? Would that be the first rollout? Or would you just mainly put them into the new PSCs? I know its strategically based on the customer that are next to PSCs.
David Burns: Good morning. This is Dave. I don't want to necessarily cross over the two concepts of creating PSCs and implementing an EXCAST process which are sort of independent concepts. We are capable of now taking a customer from deployment which they have got to design in digital space, help them optimize their design for 3D printing and take it all the way to end part. That may or may not use elements of one or more of our PSCs to accomplish all of that. So it's not as if we are going to have cookie-cutter thing that we call EXCAST and we install across the board in our PSCs. It is a much more integrated strategy. I would anticipate us being able to offer the EXCAST process on a global basis within each region and we would use our PSCs to support the rollout of that strategy
Unidentified Analyst: Okay. Thanks a lot for the clarification. The last question was on in terms of geographic perspective, you talk about your longer term goal being 30% from each region. When do you think Europe will get there? I know Europe is lagging behind if you can about what is being from each of the geographies.
Kent Rockwell: Well, one point I want to make about geography is simply this. It isn't so much that our target is a third, a third, a third, but our recognition that the market for manufacturing technology products consistently over time splits about a third, a third, a third between the regions. That's simply a reflection of what we perceive to be the market opportunity. Given that our revenues now are let's say approaching $30 million year-to-date and that the average selling price of S-Max was $1.3 or $1.4 million, as you might imagine simply a machine shipping to one region versus the other can move 4 percentage points, 5 percentage points in terms of distribution very, very easily, so until we get real big and bulky where an individual machine sale doesn't have a percentage impact on the numbers themselves is going to look lumpy. We don't perceived weakness in a region right now. This is simply we are flowing to where the current market demand is and we don't see this as a weakness or strength in any region. It simply is in this opportunistic period. That's what we deliver.
Unidentified Analyst: Great. Thanks. Thanks for taking the questions.
Operator: Thank you. We reached the end of our question and answer session. I would like to turn the floor back over to management for any further or closing comments.
Kent Rockwell: Okay. I think that we are probably at this point almost redundant anything more [outstanding]. Again, from a management perspective, we are extremely pleased with the progress we are making. Our materials development is moving along excellently. ExOne has become a real, real positive statement for us with our customers and we are now getting contracts from customers, whereas before we were pulling all the development of ourselves they are now coming in and giving us a multiple contracts for specific material applications with the view that they will be buying machines as these material applications are proven out on the machines that were now running for us. This is this is very good for us that we are seeing tremendous opportunities to evolve new market opportunities and other technology we are filing a lot of new IP now. We have been a little redundant, we are getting there, but we are even doubled our IP staff and just gotten a couple of new patents recently, so all of that's very good. We are enthusiastic about where the company is headed and what binders jetting's role is going to play in the 3D printing process and think that we are on the right track. We will overcome the a couple of bumps here and there we always have that stuff, but we are proud of where we are and I think that we are going to go a long way from here. Thank you for your time and feel free to call John with any more questions.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.